Operator: Good day, ladies and gentlemen and welcome to today's CNH Industrial's 2017 Third Quarter Results Conference Call. For your information, today's conference is being recorded. After the speaker's remarks, there will be a question-and-answer session. At this time, I will turn the call over to your host, Mr. Federico Donati, Head of Investor Relations. Please go ahead, sir.
Federico Donati - CNH Industrial NV: Thank you, George. Good afternoon and morning everyone. We would like to welcome you to the CNH Industrial Third Quarter 2017 Results Webcast Conference Call. CNH Industrial Group's CEO, Rich Tobin and Max Chiara, Group CFO will host today's call. They will use the material you should have downloaded from our website, www.cnhindustrial.com. After introductory remarks, we would be available to answer the question you may have. Before moving ahead, let me just remind you that any forward-looking statement we might be making during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included in the presentation material. I will now turn the call over to Mr. Rich Tobin.
Richard J. Tobin - CNH Industrial NV: Thank you, Federico. Good afternoon and good morning, everybody. Our third quarter results were largely in line with what you have projected earlier in the year with demand increases in all four of our businesses leading to revenue growth of 12% in the quarter in constant currency. Stronger end-markets and results from previous period, actions on our cost structure and manufacturing footprint are delivering promising results. As a result of the increased demand, we are able to increase our comparable production with the corresponding benefit to Industrial Activities' operating margin. Overall, we are encouraged with the development of our end-markets and our performance in terms of market share, price realization, discipline cost and inventory management; all of which have been achieved while delivering an improved comparable cash flow of performance for the quarter. A few highlights before we move into the overall results. We achieved an adjusted net income of $148 million in the third quarter with a corresponding adjusted diluted EPS of $0.11 per share, both more than double of last year. This was accomplished with a solid performance across all segments on increased activity levels resulting in an operating profit, up more than 40% at 5.5% margin, while we continue to improve our interested expense and adjusted effective tax rate as previously anticipated. Last week, Fitch Ratings upgraded both CNH Industrial N.V. and our financial arm, CNH Industrial Capital LLC, to investment grade which is now the second rating agency to upgrade us to investment grade in the past six months. This is a promising development that allows us to be eligible for the main investment grade indices in the U.S. market. We will go further into this later in the call. As a result of our year-to-date operating performance coupled with updated foreign exchange assumptions has led us to raise our 2017 guidance for Industrial Activities' net sales to $25 billion to $25.5 billion and adjusted diluted EPS to between $0.44 to $0.46 a share, while slightly increasing the net industrial debt guidance to $1.5 billion to $1.7 billion as a result of the strengthening euro to the U.S. dollar and the translation impact on outstanding loan balances. Finally, before we move on to the balance of the presentation, we had another strong quarter in terms of product awards and related accomplishments. At the Farm Progress Show, we unveiled our New Holland methane concept tractor and launched the new Daily Blue Power family with new sustainable range for limited delivery in urban areas. Additionally, our Benson, Minnesota plant achieved the bronze designation in world-class manufacturing. And once again, for the seventh consecutive year, we achieved the title of industry leader in the Dow Jones Sustainability Index. I will hand it over to Max for the financial interview, and I'll come back with further segment results. Max?
Massimiliano Chiara - CNH Industrial NV: Thank you, Rich, and good morning, good afternoon, everyone. I'm on slide 5 now with Q3 financial highlights. In the quarter, we achieved industrial net sales of $6.3 billion with an increase of 16% versus last year. With solid contributions from all segment, of which 4% was currency-related. That translated into an operating margin of 5.5%, up 100 basis points versus last year with positive performance in Agricultural Equipment, Construction Equipment, and Powertrain. Adjusted net income was up 120% year-on-year to $148 million with an adjusted diluted EPS of $0.11 per share. As beyond our improved operating performance, we continue to pull-through benefits in our interest expense as well as adjusted tax rate. As a reminder, you can find the reconciliation from net income to adjusted net income in the appendix of the presentation, but at high level in the quarter, we booked a pre-tax restructuring charge of $53 million in relation to our Efficiency Program, of which $47 million including $14 million non-cash was specifically related to a capacity realignment action in our firefighting business, which will generate savings of approximately $20 million on a run rate basis by 2019. We also had a charge of $39 million in relation to the repurchase of our Notes with an interest expense savings of a similar amount over the remaining life of the two bonds part of the tender. Net industrial debt was $2.6 billion at the end of September, up $0.5 billion compared to June 2017 due to the typical seasonal increase in net working capital. Available liquidity including undrawn committed facilities was at $7.9 billion, down $0.4 billion versus June 2017. Moving on to slide 6, Industrial Activities' net sales. Let's review the total change at constant currency. In total, net sales were up $650 plus million at constant currency for the quarter with Agricultural Equipment up $220 million or 9% as a result of a stronger end-user demand in all regions aside from NAFTA, which was flat. Construction Equipment net sales increased $36 million or 6% percent as a result of end-user demand growth in all regions, particularly in light equipment in NAFTA and in APAC markets overall. For Commercial Vehicles, net sales increase more than $300 million or 15%, generally as a result of positive market development with Europe up low-single digit and LATAM and APAC rebounding double-digit but from low base, particularly LATAM. In addition, revenue increased as a result of gross price realization, increased fleet-related sales on heavy trucks and commercial vans, and timing of specialty vehicle delivers in EMEA. Powertrain was up $173 million due to higher volume to both internal and external customers. Finally, foreign exchange translation impact was positive for $200 plus million, primarily as a result of the euro strengthening during the quarter. On next slide, number 7, in the quarter operating profit of Industrial Activities was up 41% or more than $100 million versus last year with an operating margin of 5.5% with all segments excluding CV up year-over-year, with a profit pull-through on the increased sales of about 20% on average in the three segments. Operating performance during the quarter has been strong as a result of improved end-user demand and the continued disciplined approach on cost management. Adjusted net income increased by $80 million, helped by the improvement in interest expense due to the efforts made last year and further accelerating this year, post-investment grade achievement to improve our debt structure by retiring higher coupon bonds and replacing them with lower rate notes. Additionally, the adjusted effective tax rate for the quarter improved to 34% from 46% last year due to favorable jurisdiction of profit mix. The rate has now started to move closer to our long-term target of mid- to low-30s. As you can see from the bar chart to the right, this favorable change in PBT resulted in $34 million of additional tax expense, partially offset by $16 million in lower taxes related to the improvement in the adjusted effective tax rate which as described. Moving on to slide 8, our change in net industrial debt. Net industrial debt came in at $2.6 billion, which was up from June as expected due to the normal seasonal increase in networking capital primarily associated with decreased payable. As you can see, net industrial cash out flow in the quarter was $285 million, an improvement of almost $200 million from one year ago. The main difference was an improvement in cash flow from operation. Next slide, number 9, capital expenditures were down slightly to $112 million, where the majority of the spending is in maintenance CapEx now. We're also investing in preparation of the upcoming Stage V for off-road applications, and we are ramping up spending in the Precision Solutions & Telematics in Ag to support our connectivity platform. We expect CapEx for the full-year to remain slightly above 2% of revenue. Interesting to note, R&D instead has started to ramp up approximately 14% in the quarter in most of our businesses as we continue to invest in our future products. Moving on to slide 10, our Financial Services business. Net income was up $9 million versus Q3 of 2016, primarily due to higher end-market activity in LATAM and APAC. Lower provisions for credit losses as we see improved credit worthiness and the positive impact of currency translation. For the quarter, retail loan origination were $2.3 billion, flat compared to the same quarter last year. The managed portfolio of $26 billion is up the end of September. It was up $1.2 billion, primarily as a result of the increased activity in LATAM and APAC. Also, credit quality remains strong with delinquencies still low at 3.6%. Slide 11 illustrates the company debt maturity schedule and available liquidity. At the end of September, available liquidity comprising $4.8 billion in cash and $3.1 billion in available undrawn committed facilities was $7.9 billion. We're holding a liquidity to revenue ratio at around 30%. During the quarter, the company repurchased a total of €800 million in principal amounts of the 6.25% Notes due 2018 and the 2.75% Notes due 2019 issued by the CNH Industrial Finance Europe S.A. and issued €650 million in principal amount of 1.75% Notes due 2025. Additionally, we announced today, early redemption of all of the outstanding $600 million in principal amount of CNH Industrial Capital LLC 3.875% Notes due notes due July 2018. These transactions further improve our financial ratios and we contribute to reduce interest expense going forward. On July 12, as Rich mentioned earlier, last week Fitch Ratings initiated coverage and assigned its long-term issuer default rating on both CNH Industrial N.V. and CNH Industrial Capital LLC at "BBB-" with stable outlook. This action follows the one that occurred in mid-June when S&P's upgraded their long-term corporate rating of CNH Industrial N.V. and CNH Industrial Capital LLC to "BBB-" with stable outlook. And so going forward, the company securities would be eligible for the main investment grade indices in the U.S. market, such as the Bloomberg Barclays Index (sic) [Indices] (12:18). This concludes the financial review portion of our presentation. Let me now turn back over to Rich for the business review section. Thank you.
Richard J. Tobin - CNH Industrial NV: Thanks, Max. Agricultural Equipment net sales increased 12% and EMEA sales were up due to improved volume for combines and low horsepower tractors and the favorable net price realization. We also saw a continuation of the positive trajectory and end-market demand in APAC and LATAM, primarily Argentina. NAFTA was flat whereby row crop is stabilized with good results and combine harvesters and crop production equipment being offset by hay and forage product demand declines. Operating profit for the quarter is $208 million, a 34% increase in the third quarter of 2016. Operating margin increased 1.2 percentage points to 7.8% as a result of favorable wholesale and production volume and product mix, positive net price realization more than offsetting raw material cost increases and improved quality costs. As mentioned earlier, we are increasing our investment in R&D in our Precision Ag programs leading to an increased R&D expense of 16% quarter-to-quarter. In terms of units stats, we overproduced tractors and combines compared to retail sales in the quarter but continued to under produce high horsepower tractors in NAFTA as anticipated. So moving on to slide 16, considering the channel inventory stats from the development of the NAFTA market in terms of demand, that it's our hope that we can retire this slide in Q4, since we've been having it out here now since 2015-ish because of the progress that we've made in terms of channel reduction. So, NAFTA row crop production was 14% lower than last year, leading to an underproduction compared to retail sales and 9% on high horsepower tractors and 16% overproduction in combines on increased demand and inventory balances. We continue to manage our channel inventory down, maintaining a position that's 20% lower than one year ago as a result of destocking actions in high horsepower tractors and hay and forage products in NAFTA. The ratio of high horsepower tractor used equipment sales to new equipment sales in the U.S. used tractors are outselling new by a factor of three, which is a positive trend that is encouraging for 2018 production to retail dynamics. If we look at the chart for NAFTA combines, you can see we've reached an inflection point with ratios returning to long-term averages. Moving on to Construction Equipment, net sales increased by 8% in the quarter compared to last year, from market growth in all regions particularly in light equipment in NAFTA and in APAC, where we have seen a sustained rebound in demand since last year. The current worldwide order book is up over 50% higher than previous year as end-user demand is moving up positively in major markets, while dealer inventory levels are quite low. Operating profit was $13 million for the quarter with an operating margin of 2%. The increase is mainly driven by higher volumes and favorable products mix as well as positive price realization as a result of channel inventory levels being in line with market demand. Production in the quarter was up 8% with an over production retail of 2%, similar to where we have been in third quarter, historically. During the quarter, all regions for light and heavy equipment once again saw increased volumes, especially in APAC. As mentioned, our order book is up significantly from the same time last year, and we believe this strength should continue through remainder of the year, driving further improvements in our profitability as our dealers' months of inventory supply are quite low. Moving on to Commercial Vehicles. Net sales increased 20% in the third quarter as market improved in all regions, especially LATAM and APAC. LATAM is up but coming off a very low Brazilian base. Revenue increased in all regions, and EMEA net sales increased as a result of fleet-related sales and heavy tractor trucks and commercial vans and the timing of specialty vehicle deliveries. Operating profit of $59 million for the third quarter of 2017 at an operating margin of 2.3%. It was a mix quarter in terms of segment profitability as a result of negative product mix and larger fleet sales and heavy vehicles and standard van light commercial vehicles leading to comparable negative mix and pricing effect in the quarter. We have also increased R&D spending by 19% in preparation of new product launches, particularly expansion of our gas vehicle lineup and new X-WAY heavy truck. In addition, we had a negative comparable impact of foreign exchange in the quarter largely as a result of the strengthening in the euro relative to the British pound sterling. Finally, as pointed by Max, at the end of the quarter we initiated additional capacity realignment actions in our firefighting business as part of Our Efficiency Program in light of our commercial vehicle improvement plans. In the quarter, quarterly underproduction versus retail was 3%, and worldwide production level was up 5% versus the same quarter of last year. For the quarter, European truck market was up 4% compared to last year; LATAM and APAC markets were up 15% and 10%, respectively. Market share for trucks in Europe was slightly down in light, but flat in medium and heavy. On a year-to-year basis, market share was flat in Europe overall. Order intake for trucks in Europe was quite strong at 23% for the quarter compared to last year due to increased adoption of new products and lower volumes last year due to Euro 6 emissions changeover. Truck deliveries were down 2% and book-to-bill was approximately one-for-one. Powertrain net sales increased 27% due to higher sales volumes for both captive and external customers. Sales to external customers accounted for 48% of net sales in line with third quarter of 2016. Operating profit of $88 million for the quarter, up $36 million as a result of higher volume, favorable engine mix, and manufacturing efficiencies. Operating margin increased 2.1 percentage points to 8.2% on volume leverage influenced by pre-Stage V stockpiling which is expected to decline through the balance of the year, positive third-party sales mix and manufacturing productivity. During the quarter, Powertrain sold 150,000 engines, an increase of 17%. 54% of engine units were supplied to external customers. Additionally, Powertrain delivered 16,000 transmissions and approximately 42,000 axles. Okay, moving on to the industry outlook for the balance of the year, you can see that our industry forecast to change modestly. In NAFTA, we expect a modestly stronger market for tractors, combines, and light construction equipment. In EMEA, we see some slightly stronger demand for construction equipment. In the LATAM, we've raised the expectation for heavy construction but this is off very low level, so not overly material. And finally, in APAC, most notably demand in China, we have increased the industry overall, so nothing dramatic up or down. I think that if anything, the LATAM number is probably going to come in at the lower end of the range depending on how Brazil travels for the balance of the year. I guess we can deal with that in the Q&A. And moving on to the final slide, as mentioned in my opening remarks, market conditions across all our major segments have been solid year-to-date despite continued inventory destocking efforts in high horsepower tractors in NAFTA and weak demand in hay and forage products. The weaker U.S. dollar has a positive translation impact in our revenues, but a less significant impact on profit because of our balance foreign currency positions between revenue and cost. However, the strengthening of the euro is an unfavorable translation impact on the euro-denominated portion of our net industrial debt but that's partially offset by better operating results and cash flow. So, with all those active factors in mind, we are increasing our 2017 guidance for sales and EPS. We're slightly increasing net industrial debt guidance as follows. Net sales of Industrial Activities of $25 billion to $25.5 billion, adjusted diluted from EPS $0.44 to $0.46 cents a share and net industrial debt at $1.5 to $1.7 which equates to a growth of EPS of about 30% and a revenue growth of 7%. So that concludes the presentation. Federico, let's open it up for Q&A.
Federico Donati - CNH Industrial NV: Thank you, Mr. Tobin. Now, we are ready to start the Q&A. George, please take the first question.
Operator: Thank you, Mr. Donati. Ladies and gentleman just once again Today's first question is coming from Mr. Joe O'Dea calling from Vertical Research Partners. Please go ahead, sir.
Joseph John O'Dea - Vertical Research Partners LLC: Hi, good morning. First on NAFTA production in Ag and particularly in high horsepower. I think a quarter ago; you were talking about waiting until you had a little bit more visibility into the end of the year on when to end underproduction in high horsepower tractors. Just any updated thoughts there, your comfort level with channel inventories? And related just what we're seeing in a little bit of a split between overproduction in combines underproduction and high horsepower tractors, any kind of comments on what we're seeing there?
Richard J. Tobin - CNH Industrial NV: Sure. I mean, I think I'll refer you back to the slide that shows used to new sales in NAFTA. We've thought that NAFTA in combine harvesters has been in balance since; let's call it, beginning to mid-2016. So the fact that we're overproducing now is a reflection that we believe that the inventory has been in balance for approximately 18 months. So, now it just comes back to projecting retail demand and then with seasonality of when we're producing – of producing to that demand. The stats look good for high horsepower tractor. We'll see. I think that we're feeling better about the ability to produce in line with retail in 2018, but I think that we'd like to see what kind of clearing that we get in the fourth quarter to really update that figure.
Joseph John O'Dea - Vertical Research Partners LLC: Appreciate it. And then on some of the moves with the debt and the ratings, any help just as we think about moving forward taking into consideration some of the retirements now being eligible for investment grade indices, just what that means from an interest expense quarterly run rate moving forward?
Richard J. Tobin - CNH Industrial NV: I'll go ahead and let Max answer that one.
Massimiliano Chiara - CNH Industrial NV: So, Joe, you can basically calculate yourself looking at the distribution of our maturities. As a result of the reduced price that we are experiencing now in the market after the investment grade announcement, we would suggest to hold on until we can come out with the 2018 guidance as we need to see how the exchange rate settles, and we can probably give you a hard number for 2018.
Joseph John O'Dea - Vertical Research Partners LLC: Anything just on the normal spread?
Richard J. Tobin - CNH Industrial NV: Yeah, on the spreads. Joe, I think the bottom line is it allows us to issue a longer dated paper, right, in the U.S. – in both in euro and in dollar. So our expectation is that the duration table, it's going to be retired and extend pretty much of what you've seen through this past year.
Joseph John O'Dea - Vertical Research Partners LLC: Perfect. Thank you.
Operator: Thank you much, sir. We'll now go to Palash Somani calling in from JPMorgan. Please go ahead.
Palash Somani - JPMorgan India Pvt Ltd.: Hi, guys. This is Palash Somani on for Ann Duignan of JPMorgan. My first question is now that CNHI is rated investment grade, are you guys exploring any spinoffs or feel (25:05) of any of your current businesses?
Richard J. Tobin - CNH Industrial NV: It's a bit premature since we've just got our second rating upgrade. Look, I really have no comment about that. I don't think there's much of a relation between reaching investment grade and that general corporate activity. What else you got, Palash?
Palash Somani - JPMorgan India Pvt Ltd.: Okay. Could you also update us on your early other program for spring equipment and for combines into 2018?
Richard J. Tobin - CNH Industrial NV: Again, it's a bit early to start projecting 2018. I think the trajectory for combine harvesters is good closing out 2017. So I think that barring a change in commodity prices that we would expect that trajectory to continue. On the tractor side, I think – that if you listened to the answer of the question I said before, it's we need to see where we are in terms of channel inventory, but we don't have any expectation for any decline in demand in 2018 relative to where farmer net income is projected.
Palash Somani - JPMorgan India Pvt Ltd.: Okay. Thanks. I'll get in line.
Operator: Thank you so much, Mr. Somani. We'll now go to Mr. Martino De Ambroggi calling in from Equita. Please go ahead.
Martino De Ambroggi - Equita SIM SpA: Yeah. Thank you. Good morning, good afternoon, everybody. The first question is on the Ag business. In Q3, it showed an incremental margin of 18%, which is below what you mentioned as a normalized level of 25%, 30% assuming that the top line grew quite significantly. So if you could elaborate on the reason why the incremental margin was not in the range you guided, and maybe it's just a matter of currency, but I don't know? The second is on the Commercial Vehicles business. You showed a negative price effect in Q3. So (a) what we should expect for the rest of the year in terms of profitability and pricing in particular, and (b) I remember at the beginning of the year, you mentioned that you expected improvement in each and every division at operating level, is it still the case for the CV business?
Richard J. Tobin - CNH Industrial NV: All right, let's go to the Ag question. There's really no FX in it and the incremental margin numbers that we've been using historically is weighted to the decline or the increase in NAFTA. So you had a quarter with virtually no revenue increase in NAFTA. So, other than mix, there's no impact on incremental margins quarter-to-quarter because of that effect, so that's why it's 18% rather than the 25% that we had talked about in the past when the NAFTA market was declining. In terms of CV, the negative pricing is a bit of mix. As we mentioned in the commentary, we had heavy weighting towards the large fleet deals in heavy segment and more vans rather than cab-over in light commercial vehicles. We're still trying to price for a lot of the Euro 6 content. Do we expect it to be better in the fourth quarter? I think that our expectation is that it will be better in the fourth quarter. Can they? It's a matter of execution and foreign exchange or whether year-over-year Commercial Vehicles will be better for the full year. My expectation is yes, but we need to execute in the fourth quarter.
Martino De Ambroggi - Equita SIM SpA: Okay. Thank you. If I may just as follow-up on buyback of shares. Now, you're investment grade for two rating agencies, should we expect an acceleration in buyback?
Richard J. Tobin - CNH Industrial NV: I don't think you're going to see anything more than we have announced in terms of the authorization for 2017 and we'll update the position for 2018 at the end of the year.
Martino De Ambroggi - Equita SIM SpA: Okay. Thank you.
Operator: Thank you very much, Mr. De Ambroggi. Today's final question is coming from Mr. Ross Gilardi, calling here from Bank of America. Please go ahead, sir.
Ross Gilardi - Bank of America Merrill Lynch: Yeah. Hi, good morning. Good afternoon, guys.
Richard J. Tobin - CNH Industrial NV: Hi, Ross.
Ross Gilardi - Bank of America Merrill Lynch: What is your guidance assumed from margins year-on-year in Ag in the fourth quarter?
Richard J. Tobin - CNH Industrial NV: We don't give you segmental assumptions, Ross. I think, overall, we'd expect to see the same trajectory of improvement that we saw year-to-date of that.
Ross Gilardi - Bank of America Merrill Lynch: Okay. That's helpful. And just a little bit more on high horsepower tractors. Demand hit your end-market forecast in the fourth quarter, are your inventories where they need to be at the end of the year and are you able to produce more on 2018 versus 2017 for NAFTA high horse?
Richard J. Tobin - CNH Industrial NV: No, I think that they're still higher than what we'd want them to be. We think that the metrics for the clearing is good, but overall I would not expected NAFTA to increase production for high horsepower tractors in Q4. We'd allow the position to clear. We can catch up in Q1 next year, if needed be.
Ross Gilardi - Bank of America Merrill Lynch: Oh, I'm sorry, Richard, that was more a question like if your – if demand hits your end-market forecast in your fourth quarter, are your inventories would need to be produced more 2018 versus 2017?
Richard J. Tobin - CNH Industrial NV: Oh, I hope so. But right now I think if we could get it balanced for 2018, we'd be pleased with that after the last four years, but I think it's a little too early to tell because we expect a significant amount of activity in Q4 on the used based on the numbers that we see in terms of the clearing.
Ross Gilardi - Bank of America Merrill Lynch: Okay, thanks. And then what was the – you mentioned your order book up 50%; there's just a lot of earnings calls today and there was a lot of detail provided. So what was that number pertaining to? Was that...?
Richard J. Tobin - CNH Industrial NV: Construction.
Ross Gilardi - Bank of America Merrill Lynch: Global construction is up 50%. Okay. Got you. Thanks.
Richard J. Tobin - CNH Industrial NV: Yeah.
Operator: Thank you very much, Mr. Gilardi. Ladies and gentlemen that will conclude the question-and-answer session. I'll now like to turn the call back over to Mr. Federico Donati for any additional or closing remarks.
Federico Donati - CNH Industrial NV: Thank you George. We would like to thank everyone for attending today's call with us. Have a good day.
Operator: That will conclude today's conference. Thank you for your participation. Ladies and gentlemen, you may now disconnect.